Operator: Good morning, ladies and gentlemen, and welcome to Martin Marietta’s Second Quarter 2019 Earnings Conference Call. My name is Catherine, and I will be your coordinator today. At this time, all participants have been placed in a listen-only mode. A question-and-answer session will follow the company’s prepared remarks. As a reminder, today’s call is being recorded. I will now like to turn the call over to your host, Ms. Suzanne Osberg, Vice President of Investor Relations for Martin Marietta. Ms. Osberg, you may begin.
Suzanne Osberg: Good morning, and thank you for joining Martin Marietta’s second quarter 2019 earnings call. With me today are Ward Nye, Chairman and Chief Executive Officer; and Jim Nickolas, Senior Vice President and Chief Financial Officer. To facilitate today’s discussion, we have made available during this webcast and on the Investor Relations section of our website, Q2 2019 supplemental information that summarizes our quarterly results and trends. As detailed on Slide 2, this conference call may include forward-looking statements as defined by securities laws in connection with future events, future operating results or financial performance. Like other businesses, we are subject to risks and uncertainties that could cause actual results to differ materially. Except as legally required, we undertake no obligation to publicly update or revise any forward-looking statements, whether resulting from new information, future developments or otherwise. We refer you to the legal disclaimers contained in today’s earnings release and other filings with the Securities and Exchange Commission, which are available on both our own and the SEC websites. Unless otherwise noted, all financial and operating results discussed today are for the second quarter 2019 and the comparisons of versus the prior year second quarter, and all margin references are based on revenues. When providing certain comparisons with prior periods, we have excluded the operating results of acquired businesses that do not have comparable results in the periods being discussed. We refer to these comparisons as same store information. Furthermore, non-GAAP measures are defined and reconciled to the nearest GAAP measure in our Q2 2019 supplemental information and SEC filings. We will begin today’s earnings call with Ward Nye, who will discuss our second quarter operating performance as well as market trends. Jim Nickolas will then review our financial results. A question-and-answer session will follow. I will now turn the call over to Ward.
Ward Nye: Thank you, Suzanne, and thank you all for joining today's teleconference. We're proud to report second quarter results that established new company records for revenues, gross profit and adjusted earnings before interest, taxes, depreciation and amortization, or adjusted EBITDA, driven by double digit aggregate shipments growth, continued pricing momentum across our building materials business and improve cost control. Consolidated total revenues increased 6% to $1.3 billion, adjusted EBITDA to $378 million and fully diluted earnings per share to $3.01. This impressive second quarter performance underscores Martin Marietta strong execution and superior strategic position, which are allowing us to capitalize on the strength of product demand in our key regions. Attractive market fundamentals including notable employment gains, population growth and superior state fiscal health continued to promote steady and sustainable construction growth and favorable pricing trends across our geographic footprint in the second quarter. Consistent with our expectations, construction growth in our top 10 states is outpacing the nation as a whole. We anticipate further acceleration in construction activity during the second half of this year, supported by strength in public and private sector spending. These attractive dynamics combined with our strong first half performance position Martin Marietta for increased shipments, pricing and profitability and underpinned our confidence that we will deliver another record year. That's why it's announced in today's release, we raise the midpoint of our full year adjusted EBITDA guidance by $32.5 million. Our second quarter results can best be summarized as a tale of two geographies. Much of Martin Marietta's Eastern footprint, most notably North Carolina, Georgia, Maryland, as well as Iowa benefited from robust underlying demand, his customers continued to address whether deferred projects and growing backlogs. By contrast, the company's two largest states by revenues, Texas and Colorado, experienced extreme weather patterns during the quarter that hindered construction activity and negatively impacted our aggregates, cement and downstream operations in these regions. Aggregate shipments increased 10% for the company as a whole or 6% on a same store basis. All divisions achieved growth with the exception of our Southwest division, which had relatively flat shipping volumes. Equally important for second consecutive quarter, we saw improved shipments across all three of our primary induce markets. Aggregate shipments to the infrastructure market increased 2% as contractors advanced transportation related projects. However, major infrastructure initiatives in Texas and Colorado were delayed due to weather, thereby limiting overall gains in the quarter. We expect public construction, particularly for aggregates intensive highways and streets to accelerate throughout the remainder of the year, supported by meaningful increases in lettings and contract awards in a number of our key states, notably Texas, Colorado and Maryland. And continued funding from the Fixing America's Surface Transportation Act or FAST Act. We're encouraged by the two year budget deal that was reached last week in Washington DC. With that agreement now in place, we believe federal transportation funding will continue at a minimum at status quo levels. That's even absent the perspective passage of a successor infrastructure bill prior to the FAST Act's September 2020 expiration, an area the Senate Environment and Public Works Committee is currently making progress. This should provide the necessary confidence and structure for states to continue to move planned and future construction projects forward. Additionally, our top 10 states which accounted for 85% of total building materials revenues in 2018, have all introduced incremental transportation funding measures within the last five years. State level funding is expected to continue to grow at a faster rate than federal funding in the near term, leading to additional growth opportunities for our company. The infrastructure market represented 37% of our second quarter aggregate shipments, which was below the company's most recent 10 year annual average of 46%. Aggregate shipments to the non-residential market increased 25% with strength in distribution center, warehouse, data center and wind energy projects in Texas, the Carolinas, Georgia, Iowa and Maryland. Additionally, we're benefiting from the reemergence of large energy sector projects along the Texas Gulf Coast. Looking ahead and consistent with third party forecasts, including the Dodge Momentum Index, our non-residential outlook remains positive, and projects healthy commercial construction activity, particularly in our southeastern and southwestern regions. The non-residential market represented 37% of our second quarter aggregate shipments. Aggregate shipments to the residential market increased modestly with attractive home building activity in the Carolinas, Georgia and Florida offset by weather impacted delays in Texas. Despite the recent decline and housing unit starts at the national level, we expect residential construction will continue to grow within Martin Marietta's geographic footprint driven by favorable population demographics, jobs growth, land availability, attractive mortgage rates and efficient permitting. In our view, the issuance of residential permits represents the best indicator of future housing construction activity. Currently, permit growth for our top 10 states is outpacing the national average for both multifamily and single family housing units. The residential market accounted for 21% of aggregate shipments. To conclude our discussion on end use markets, the ChemRock/Rail market accounted for the remaining 5% of aggregate shipments. Volumes increased to 11% driven by improved fellowship to the western Class I railroads for emergency flood repairs, notably in Colorado and the Midwest. Based on our year-to-date performance and current trends, we also raised our full year aggregate shipment guidance from an increase of 6% to 8% to an increase of 8% to 10%. In line with internal expectations, aggregates pricing improved 3.4%. On a same store basis, pricing improved 4.1%. As a reminder, selling prices for operations required during the second quarter of 2018 are approximately 15% below the company's overall average. Our goal is to move pricing for these operations to be more in line with our broader company's selling prices. By region, our Southeast Group achieve same store price and growth of 8%, reflecting strong underlying demand in North Georgia, and a higher percentage of long haul shipments from our higher price distribution terminals. Continued discipline but the aggregate pricing improvements of 3% for both the West Group and the Mid-America Group when compared on the same store basis. We expect overall pricing growth to accelerate throughout the remainder of 2019, now that a significant portion of prior year whether different projects have rolled off our backlogs and implemented price increases are realized. Cement shipments declined 5%, driven by extreme precipitation in Texas, most significantly in Dallas Fort Worth, our pricing improved 5%. Underlying demand and the bidding pipeline remained robust and we believe our cement operations will continue to benefit from the tight supply in Texas. Turning to our downstream businesses. Despite growing customer backlogs, ready mix concrete shipments decreased nearly 16% as unfavorable weather conditions in Texas and Colorado hindered construction activity in these days. Pricing improved 3% following annual price increases that became effective on April 1. Our asphalt and paving business, which operates solely in Colorado experienced reduced production days from persistent extreme weather, including unseasonable May snowball, resulting in an 8% reduction in asphalt shipments. Asphalt pricing improved 5%, reflecting strong bidding activity and customer confidence. We believe it will be challenging for our downstream businesses, particularly in Colorado to holding makeup weather deferred shipments in the second half of the year, given the remaining available operating days in the calendar year and the typical seasonal constraints. However, we expect any weather deferred work not completed over the balance of 2019 will be pushed into 2020. I'll now turn the call over to Jim to discuss the specifics of our second quarter financial results.
Jim Nickolas: Thank you Ward. The building materials business achieved record quarterly products and services revenues of $1.1 billion, a 6% increase and gross profit of $328 million, a 14% increase. Aggregates product gross margin expanded 340 basis points to 33%. This margin expansion was driven by improved operating leverage from increased shipment and production levels, combined with pricing gains and the absence of the headwind from selling acquired inventory burdened by acquisition accounting in 2018. For the full year 2019, at the raised guidance levels, we still expect aggregates incremental margins on a same store basis to exceed our 60% target. Moving now to cement. For the second quarter, despite the nearly 5% decrease in shipments, cement product gross margin of 37.6% increased 110 basis points, driven by improve pricing, production efficiencies and lower maintenance costs. Magnesia Specialties continued to benefit from a solid global domain for magnesia chemical products, generating product revenues of $70 million and product gross profit of $29 million, both quarterly records. Payroll product mix, production efficiencies and lower energy costs contributed to the 500 basis point expansion of product gross margin to 41.5%. Our consolidated results included a $16 million out of pure expense to correct the overstatement of equity earnings from a non-consolidated affiliate in prior periods. This pretax non-cash adjustment was recorded in other non-operating expenses net and as a non-recurring item. Looking ahead, we expect full year adjusted EBITDA to be approximately $165 million higher than in 2018. We will use the resulting increase in discretionary cash flow for the continued execution of a balanced capital allocation strategy. We remain focused on creating shareholder value through value enhancing acquisitions, proven organic capital investment, and the opportunistic deployment of free cash flow through shared purchases and dividends, all well returning to a target leverage ratio. For the full year, capital expenditures are expected to range from $350 million to $400 million as we invest in highly term projects. These projects are predominantly geared towards generating greater efficiencies to drive continued margin expansion, though some are specifically focused on increasing targeted capacity. In May, we declared our 100th consecutive quarterly cash dividend. We are proud to be the only public company in our industry to have never reduced or suspended our dividend payments over this time. A testament to our consistent focus and balance sheet strength and operational excellence. Additionally, we returned $50 million to shareholders through the purchase of 230,400 shares of common stock. These shares were repurchased at an approximate price of $215 per share. Since the announcement of our share repurchase program in February, 2015, we've returned more than $1.5 billion to shareholders through a combination of share repurchases, as well as meaningful and sustainable dividends. Our ratio of consolidate net debt to consolidated EBITDA, as defined in our applicable credit agreement was 2.7 times for the trailing 12 months ended June, 2019. While this remains modestly above the top end of our target leverage ratio, we expect to continue deleveraging was an anticipated return to our target leverage ratio up to 2.5 times by the end of the third quarter. As details in today’s release, we raised our full year 2019 guidance to reflect our strong first-half performance and current trends. On a consolidated basis, we expect total revenues to range from $4.535 billion to $4.730 billion and adjusted EBITDA to range $1.200 billion to $1.350 billion. With that, I’ll turn the call back over to Ward.
Ward Nye: Jim, thanks. To conclude, we’re extremely pleased with our second quarter performance and outlook for the remainder of 2019. During our 25 years as a public company, Martin Marietta has responsibly managed and grown our business to create long term shareholder value. We’re committed to building on our track record of price discipline, strategic geographic positioning, and prudent capital allocation, all the form maintaining our focus on safety, cost discipline, operational excellence, and customer service to drive continued profitability and growth in 2019 and beyond. The operator will now provide the required instructions, we will turn our attention to addressing your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Trey Grooms with Stephens. Your line is open.
Trey Grooms: Hey, good morning, Ward, Jim and Suzanne.
Ward Nye: Good morning, Trey.
Trey Grooms: I guess first for me, you mentioned that, clearly the cement business volume impacted by weather in the quarter, but pricing was still very good, which indicating strong underlying demand. And I guess the same can be said for ready mix and hot mixed asphalt as well. But can you talk a little bit about, the weather impact what that might have had in the quarter to volume, especially in cement? But then also and I guess more importantly, how you’re performing and what you’re seeing out there since July looks like it’s the weather is finally starting to cooperate a little bit better for you guys, can kind of talk about what you’re seeing there, especially in the cement business?
Ward Nye: Trey, thanks for your question. A couple of things. One, if we just look at the second quarter, cement had 15 more days impacted by rain in this quarter than it did last year. To give you a sense of it, that’s about 13 inches of incremental rainfall that we experienced in that Northern and Central Texas area. So that was clearly something that pushed back on the volume. I think your point is actually a very good one. To see volume down and see ASP up 5%, I think it’s a wonderful sign of an underlying marketplace that we think is attractive. There are several observations on that note. One, we did see pricing up nicely in North Texas. We also saw pricing up nicely in Central Texas. So we’re seeing it up at both Midlothian as well as Hunter. So we see what we think is going to be a very busy second half of the year. As you know, typically I don’t call outside of the lines and talk about specific months in the quarter that we’re in right now, I’d like to talk about the quarter that has just concluded. But obviously, we have a great deal of confidence in what have to is going to look like, what else we would not have modified our guidance going forward. More specifically, Trey, if you look at the guidance and see where the moving parts are on that, you’ll see volume growth, as we’ve highlighted in aggregates, but you will also see looking at cement, that we’ve taken up our product revenues and we’ve taken up our gross profit for the business. So I think if you take a look at where pricing is, and what we’ve done relative to our guidance, that does give you a good sense of at least how we viewing have to. The other thing to remember is we did a lot of investment in our tones in the first half of this year. So we also think the cost profile of that business have to look very attractive.
Trey Grooms: Got it. Okay, that – thanks for all that color, Ward, appreciate it. And then I guess as my follow up. You mentioned, I think this is specifically to aggregates that overall pricing that you’re expecting that pricing growth to accelerate to 2019, as some of these older projects roll off, as you kind of play some catch up, I guess with some of that pent up demand. Can you give us any more color about that? I know you reiterated your guide for the full year. But just any sense that you can give us on how what kind of impact that had to maybe the first half pricing and then a way that we can maybe think about that acceleration, kind of going into the back half of the year?
Ward Nye: Sure. Thank you for that, Trey. I guess I would say, do keep in mind, we are seeing hard work roll off, you see what the price increases were. I think the other thing that’s worth noting is if we look at the quarter, actually, we had a very strong quarter in particular, in our Midwest, and Mideast divisions, those are really not two of our overall higher price divisions as you compare them, for example, two parts of the mid-Atlantic and the Southeast. So we think we’re likely to see natural price increases come in. We think we’re likely to see some geographic mix that’s going to be in our favor. And one thing I have to say for operating group to as I reflect on that, to have had the type of growth that we did in Midwest and Mideast, to have had a very wet quarter in Texas and Colorado are two largest states by revenue and to put up 63% incremental margins on a same store basis in the quarter, I think it’s a really good story but I think those building blocks I gave you at the beginning of that answer relative to pricing is what gives us confidence in the way the blog will look for the rest of the year.
Trey Grooms: Yeah, make sense. I’ll go ahead and pass it on. Thanks, Ward and congrats on the good quarter.
Ward Nye: Thank you, Trey.
Operator: Thank you. Our next question comes from Kathryn Thompson with Thompson Research Group. Your line is open.
Kathryn Thompson: Hi, thank you for taking my questions today. Just a follow-up cleanup question on guidance and modest revision upwards. Can you look at more clarity on how much higher volumes versus lower costs contributed to that delta, both on the aggregate and on the snip side. And could you also confirm the guidance still includes relatively better weather, as you outlined in the previous quarter? Thank you.
Ward Nye: Sure. Kathryn, good to hear your voice. A couple of things as we got walk through the guidance. And so to be very granular on it, original guidance on volume growth for aggregates was 6 to 8. Now it’s 8 to 10. So as we’re looking at that, one thing that we just have to recognize is we’ve hit the midpoint of our guidance relative to volumes in half one. So as we look at it, where we think half two is going to be, we think non-residential is going to stay good. We’re seeing nicely continuing recovery in the Southeast. We think infrastructure looks good in multi-year basis and our customers are thinking backlogs. On the last part of the call, I spoke to a degree on cement with respect to Trey’s question, the one thing that we haven’t changed is our view, at least on the 3 to 5 on ASP. So again, the pricing side has stayed static. The only part of our guidance, really, Kathryn that we took down was the guidance relative to our downstream businesses. In large part recognizing that we are planning for a second half wetter than normal, and we’re planning for a normal onset of wetter in the Rocky Mountains. So really, if we take those two factors, and try to determine what the runway just for the rest of the year could look like from a timing perspective on downstream businesses, we’ve tightened that up a bit. Do I think our cost profile will get better? Yeah, I think it could. I think if you look at half one, the cost profile actually looks pretty good. I think if we look at cost in cement, clearly, we have done a lot of what we would do on those. I think our labor costs are very nicely controlled. I think if you look at where we sit relative to costs with respect to fuel and otherwise today. That’s been a pretty good story, we think it’ll stay that way. If we look year-to-date, just for diesel fuel, June expenses were down 1.5 million lower than prior year, that’s for the first six months on five point more – 5.4% more gallons. So keep in mind, we’re going to have a full year of Bluegrass in fuel numbers. Again, for your quick use, we used about 47.5 million gallons last year. I think our MNR can look pretty good in the second half. If you look at what we have done relative to CapEx over the last several years, that should continue to be a very good story on our cost profile. You know what said when you put in that group CapEx, what it can do to DD&A is push that up very modestly, as you work those costs off overtime. But Kathryn, if you’re looking at labor, you look at DD&A, maintenance and repair and energy. You’ve worked through close to 30% of your costs on labor, and then at heavier costs at 15% after that, and given what we think can be the volume leverage, we think cost profile can again be very attractive. I hope that color was helpful.
Kathryn Thompson: Yeah. Shifting to the policy side, I know that we as a firm, spend a lot of time on DOTs, you are seeing some good learning from that, it’s good to see. But maybe shifting to the focus in DC, given yesterday’s EPW meeting, and Mr. President’s tweet earlier this morning on potential progress, not that we really want to focus on that. But what are your thoughts in terms of realistically, what’s going on in DC for long term highlight? Thank you.
Ward Nye: Thank you, Kathryn. I guess a couple of things. I mentioned in my prepared comments, two things. I mentioned, the bipartisan two year agreement that was basically met last week, which we thought was encouraging. And that’s what gives us confidence around in a worst case scenario, something that feels like flat on infrastructure actually liked very much again, I referenced this in the prepared comments what EPW did yesterday. So you’ve got a republican controlled environment and Public Works Committee and the Senate, that’s basically authorizing a 27% increase in transportation spending. That’s notable. The thing to remember is Kathryn, historically, the way that this works and reauthorization process is usually it’s kicked to the house in the first instance. And the House Transportation and Infrastructure committee looks at this comes out with their view of the bill and then Senator EPW comes in afterward. I think the fact that the republican controlled senate and EPW has come up with a nice increase on what they’re calling America’s Transportation Infrastructure Act, in the first instance, is really attractive for what we may watch for coming out of House T&I. You know and I know that the real debate is going to be around, what would the pay for look like? I believe the debate around pay will be divided somewhere between varying degrees of user fees, whether it be truck rates, whether it be electric car batteries or otherwise, or fuel gas taxes. I don’t think it’s going to be any one of those. I think it’s going to be an array of those. I think we’ll have good policy. The debate is going to be around what funding is going to be, but I think we have a President who would like to see it. We clearly have a democratic congress that would like to see it. And we have a republican control EPW that has come out with what we feel like it’s a very good start. We don’t think that’s a bad place to be here as we enter have to this year.
Kathryn Thompson: All right. Thank you very much.
Ward Nye: Thank you, Kathryn.
Operator: Thank you. And our next question comes from Scott Schrier with Citi. Your line is open.
Scott Schrier: Hi, good morning and nice quarter. I wanted to start on a downstream strategy. If I look at the cement internal and external shipment dynamics, is there anything to look into or read into there? You had pretty good pricing, does that mean that makes more sense to sell more externally and hold off on some of the internal sales? Obviously, concrete margins were pretty light. I got it, there was some fixed costs, absorption. But if I think about, I mean you’re looking at some of these fundamentals, how much of a need for the expanse of network of ready mix, do you actually need? And then, similar, if we look at ready mix pricing is up 2.5% year-on-year roughly the same sequentially, given cement price moves, given aggregates price moves and labor. I would have looked for more, so also, is it competition there, the Colorado verse Texas dynamics, how do you think about material spread? So I know it kind of packed up a little bit there but any color you could give that would be appreciated?
Ward Nye: You know you bet. Scott, I guess several things, one, looking at margins in cement that are in the mid to high 30s to something will take every day. So that’s a business that actually performed well in the quarter when I think if somebody was saying what’s this cement business is simply going to look like in a wet second quarter in Texas. I’m not sure if people would have thought it would have looked that good. I think the ready mix business, basically looking at the weather that they had in Texas, actually performed reasonably well. I do like the fact that you’re seeing the ASPs go up. Are you seeing ASPs go up more quickly in a market like Colorado, than you are in a marketplace like Texas? The answer is yes. But equally were the markets in Texas that were hit hardest by rain, specific North Texas and around DFW, some of our higher priced ready mix markets, the answer to that question is equally, yes. So again, if we look at the position that we have in Texas, we are the largest producer of aggregates, we are the largest producer of cement and we’re the leading ready mix producer. But again, we focus that in a very intentional fashion in that large Texas triangle, we feel like that’s a – that market is built in a vertically integrated fashion. We’re a leader in that market and we’ve been able to as we go through cycles to extract value all the way through our product offerings in that marketplace. So what I would suggest to you is much of what you’re looking at relative to the downstream businesses in Q2 was a weather event driven circumstance. I think cement performed in that – in that marketplace extraordinarily well. And again, I would take you back to the ASPs, seeing ASPs up 3 and ready mix with volume down 16. Actually, I think that tells you the story on what the underlying demand looks like. And we do like our position all the way through the products in that state, Scott.
Scott Schrier: Great. Ward, thanks for that. Good color. My follow-up, I wanted to move back to the aggregates and specifically in the Southeast. Obviously, you’re seeing nice pricing growth from the long haul shipment, you have volumes coming back. I’m wondering if you could speak to the margin profile you’re seeing in those regions. I know in the past, you’ve had a chart that basically showed the Southeast was further from peak levels of profitability, then some of your more legacy assets. So can you talk about what you’re seeing from a logistics perspective and rail overwater? And how much – the efficiencies that you’re getting and how you look at the potential to grow that region in terms of margin and profit dollars?
Ward Nye: No, sure, Scott, I’ll do that. And keep in mind, we have to be careful because we can have terms of art when we speak to the Southeast and we can have just normal conversational tones of what we mean when we’re talking about the Southeast to United States. So I think at times people are looking at our Southeast business. At times, they’re looking at the bottom right hand corner of the map of the United States. But I would say is this, and let’s talk about the bottom right hand corner of the map of the United States, because I think that’s how people think of that business. If we’re looking at North Carolina, South Carolina, Georgia, Florida in particular, those are states that overtime, we would have expected some of the most attractive if not the single most attractive margins that we would see in our business. Clearly, you’re seeing I say, ASP rise in the Southeastern United States, in part because to your point, if you look at Georgia and North Carolina, in particular have been, they’re still around 28-ish percent below mid cycle on volumes, but they’ve not behave from a pricing perspective, is it that they’re that far off on volumes. So what we’re seeing in this quarter for an example, is we’re seeing places like Greensboro in North Carolina, recovering in a very nice way for literally about the first time in a decade. We think that’s incredibly important as Raleigh been in recovery mode, it has been has Charlotte been yes. Has Greensboro lag it has, and it’s doing noticeably better now. Yes, equally Atlanta coming out of the recession, Atlanta, as you recall, Scott, was hit disproportionately hard. Atlanta send a very nice recovery mode now on both public and private work. And if we look at Georgia DOT budget today is really considerably more attractive than it was several years ago. But if we’re looking at some very large projects that are likely to be led in that marketplace over the next several years, we think that’s important. It’s probably worth looking at some point of major mobility investment program that George is looking at and targeting around $12 billion to reduce congestion along key carter’s in that state. So I think back to your question. If you’re looking at the Southeastern United States, we think the recovery is early, we think the recovery is notable. And I think your observation that you’re not hearing us had broad based concerns around rail performance is notable. I mean, obviously we saw good performance from the railroads in the Western U.S. in the first half and we continue to have good service from the railroads in the east. We think all that pretends very well for that Southeastern portion of our business.
Scott Schrier: Thanks for that. Appreciate it and good luck.
Ward Nye: You bet, Scott. Thank you.
Operator: Thank you. Our next question comes from Phil Ng with Jefferies. Your line is open.
Phil Ng: Hey, good morning, guys. Hey, Ward, strong quarter, pretty impressed in this tough environment.
Ward Nye: Thank you, Phil.
Phil Ng: Sure. It seems like the bottlenecks that you saw last year whether it’s rail and labor trying to clear up. Is that fair and you know, what’s your ability to kind of play catch up in the back half? And I’m just curious do you and your customers, how the bandwidth is for, stronger demand. Is there like a governor on terms of how fast shipments could be up this year?
Ward Nye: You know couple of things, one, I think you’re entirely right. Part of what we said last year was we thought logistics would get better. We thought trucking would get better, and we thought rail would get better. And we didn’t think it would be cured over a quarter, but we thought it would be cured over the course of several quarters. And I’m not saying it’s cured, but we are saying it’s considerably better. So I think what we have learned in that respect is about right. With respect to labor, I’m going to bifurcated that and I’m going to speak to it in two halves. The first half is what does our labor look like? Do we have the capacity in most instances to put the stone on the ground that’s required for projects, including wrap up? The short answers yeah, I think we do. I think we could certainly do that. Is there a governor at times in certainly markets relative to contract labor, I think to a degree in some markets, if you have a higher degree of seasonality in a market, you can have some of that today? It’s odd to look at it and see volume up 10%. And be talking about a governor because we actually like what we saw in the quarter. We like what we’ve seen in the first half, we think it’s going to be a very busy second half. We are not going to be labor constrained. In our side of the equation, it will see how hard contractors can run. I will tell you; I think contractors are doing a considerably better job of putting material down when they can. I think the last several years of being extremely wet. We have pushed contractors to adjust their schedules, and we see them overcoming bottlenecks in ways in 2019, that I don’t think we would have seen in 2017. Now to the extent that they can’t get all the work done that they would like to in 2019, the good news is I think it gets pushed into 2020. So I think we’re looking at something that we’ve already captioned is going to be a record year this year. And I like how much build I see at this point going into 2020.
Phil Ng: Got it. That’s really helpful color. And then the growth that you saw in non-residential was impressive. I think you’re seeing double-digit growth, and you’re calling for a pretty noticeable uptick for the rest of the year. It sounds like you’re starting to see some of those energy projects you’ve been talking about into Gulf coming through, one is that correct? And how should we think about this opportunity next few years?
Ward Nye: Okay, thank you for the observation on that. I would say two things. Are we seeing some of the energy projects in the Gulf come through? The answer is yes. I mean, to give you a sense of it we will probably sell a million tons to some of those projects this year. But here’s what I think is more impressive about what we saw the court on non-residential, and that was it was broad based. If we’re looking at the Southwest, the mid-Atlantic, the Midwest, the Mideast, the Southeast, they were all up on non-res. So we’re not saying one big project in one part of the country that’s just soaking up all the noise on non-res. We’re saying good energy activity as I just indicated. We’re seeing reasonable sale activity. We’re seeing continued warehousing activity. We’re seeing large distribution activity. We’re seeing wind farms. We’re seeing datacenters. So part of what I like about non-res is it seems to be fairly widely dispersed. And one of the things that you’ve heard us speak to Phil, is how important we believe it is to grow our businesses on these notable and significant corridors. So on I-25, and I-35 and I-85 and I-95 and interstate 40, all of which are very active quarters for corridors for traffic. We’re seeing notable non-res activity in those corridors and we’re participating in those in ways that we would have expected. So is a 37% overall piece of the pie on non-res notable it is. But we think it’s got some sustainability to it. Based on the numbers that we’re seeing we believe that it does. Again, I want to give you some color there, Phil.
Phil Ng: That’s really helpful. And just one last one, if I may. Your incremental margin guidance implies a noticeable step up. Can you provide a little more color on the key drivers? That gives you that confidence that the full year, it’s tracking – expected track north of the year, longer term 60% target? Thanks, and good luck in quarter.
Jim Nickolas: Yeah, Phil, it’s Jim. So the answer to that is really just continued performance that you’ve seen this year continuing in the second half of this year, coupled with the fact that we’re comparing versus prior second half a very, very weather impacted effect the third and fourth quarter. So really continued good performance, stable performance from our perspective this year, for an easy count for the back half the year.
Ward Nye: And Phil, just as reminder, when we hit 63% in the second quarter with our top two states hit hard by weather and without a big place in the East being really driven by the Midwest and Mid-East, again, I think that underscores Jim’s point, we feel pretty good about where the incrementals are going.
Phil Ng: Okay, thanks a lot.
Ward Nye: Sure.
Operator: Thank you. Our next question comes from Garik Shmois with Longbow Research. Your line is open.
Garik Shmois: Hi, thanks. Just on infrastructure. Clearly your leading indicators are quite positive. But rough about 2% infrastructure in the front half a year to get to your outlook for high single-digits for the full year implies, high single digits…
Ward Nye: Operator, I lost Garik.
Garik Shmois: Hello, can you hear me?
Ward Nye: We can hear you now. We lost you for a second, Garik. You were saying that implies high single digits for the second half. I think it’s what you’re saying?
Garik Shmois: Yeah, I think maybe a little bit more than high single-digit growth in the second half for infrastructure. And, if that is the case, is there any price mix impact, just given the timing of some of the shipments in infrastructure that you might experience?
Ward Nye: Yeah, the only thing that I could say relative to mix is if you do end up with more brand new infrastructure project starting, you could see a higher degree of base move on those. And again, the margins that we would experience some base sales is not going to be notably different than the margin, we might experience some clean. But as you know, you can have a 25% to 30% delta in ASP moving from a base product to a clean stone product. So could you see some bit of that in that? I suppose. Are we concerned that that might do anything to change our guidance? We’re not concerned about that Garik. And I guess the other thing that I would say is we’ve spoken with our customers about their backlogs. That’s really what gives us the competence as we look into have to relative to infrastructure because we’re looking at Mid-Atlantic backlogs that customers would say, from their perspective, or up at times to read 30% if where they were last year, we’re looking at backlogs in the Midwest, where customers are saying they may be up as much as 25% of where they were in the prior year. We’re looking the Southwest same type of activity. Customers are saying they may be up as much as 14%. And when we’re talking to customers in cement, they’re talking about numbers that can even be ahead of those percentages that I just gave you. So if we’re looking at where DOTs are and they are bidding, and what’s happening. And keep in mind, you’ve got $8.7 billion worth and Texas going up to 9.1 next year. Colorado’s got to point $2.2 billion DOT budget this year versus $1.6 billion last year. North Carolina is expecting a record year. We’re looking at Florida at $10.8 billion for FY 2019-2020. And we’re looking at Maryland at the largest P3 Highway project in North America. So if we think about really why we have confidence in the continued emergence of public works, it’s the customer backlogs and it’s the dialogue come in the DOTs that gives us that underlying confidence.
Garik Shmois: Okay. That’s good color, thanks. Other question is just on cement in the maintenance expense, you indicated that you pull forward [Technical Difficulty] how much maintenance you incurred in the second half of 2018 and just [Technical Difficulty]?
Ward Nye: Yeah, look, for the full year 2018, we had, it looks like it’s $14.4 million worth of expenses, we’re looking at $19.2 million worth of expenses this year. And again, the biggest piece of that was front loaded. So we feel like we’re going to be in a very attractive year. We’re $5 million more into killing expense in the first half of this year versus where we were in the last year. So you can take those numbers and get a very good build as you go through.
Garik Shmois: Okay, yeah, sure. Thanks again.
Ward Nye: Okay, thank you, Garik.
Operator: Thank you. Our next question comes from Stanley Elliott with Stifel. Your line is open.
Stanley Elliott: Hey, good morning, everyone. Thank you for taking the question. Maybe you can start by kind of give us an update on thoughts around Bluegrass, you guys have had it for a year anniversary of it. You certainly mentioned Maryland and North Georgia key contributors in the quarter. I’d love to see kind of here rather kind of thoughts around how the integration went, if there were any additional synergy that there were to come out? And I’ll let you take it from there.
Ward Nye: Stanley thanks for the question. I guess several things. One, this was in fact the finest quarter that we’ve had with Bluegrass since it’s been under our ownership. We saw nice incremental tonnage for the quarter. We’ve seen nice incremental tonnage for the first half. We exceeded all the synergy targets that we projected. And remember Stanley, this energy targets, we projected we’re operating synergy target. So I’d like to say we’re getting those the hard way. We think culturally, we have brought a business into our business that has worked extraordinarily well. So for example, I’m really very proud to tell you that through the first half of the year, there were no last time insurance at any Bluegrass site. And that’s a very different story than it was last year. And you recall, that’s the same type of story that we had after we had acquired TXI. So are we pleased with much larger position, particularly in Atlanta than then we had before? Yeah, we are. Do we feel like that positions is particularly well, as we start thinking about what Georgia DOT will do over the next several years on that major mobility investment program? Yeah, we do. Being in Maryland, for you got the largest P3 activity in the country. And we think is an exciting place to be. And I will tell you a couple of weeks ago, I was looking through the Bluegrass operations in Kentucky that has fit very nicely into our Southern Ohio Business. Very good people, very good operations, doing everything that we thought it would do. So yes, we’re very pleased with every aspect of that. I did give some commentary in my prepared remarks on our views on what we think we would like to be able to do commercially with that business going forward and we will continue to be focused on that.
Stanley Elliott: Perfect. And then, one last one, I guess, maybe for you to kind of think about CapEx stand run rate for the business. You mentioned some pretty spectacular, pretty significant increases on some of the backlog for some of your customer work. When we think about CapEx remaining at this level on a go forward basis and then two, kind of how do you think about managing the debt levels into next year, primarily, since you’re going to be way through that the leverage target?
Jim Nickolas: Sure, we’re expecting our CapEx, again, consistent with last year is consistent with our guidance between $315 million to $400 million this year, maybe up incrementally more, if think about as percent of sales as a business grows, will have to, pro rata increase CapEx to some degree just to keep the equipment will maintain et cetera, as we grow. But the more interesting question is next year, I think once we get to our target, that the EBITDA ratio, the target leverage zone two to two and a half times, which will be out by the end of the year, they will have free cash flow and more options to deploy, their free cash flow and I think we need to pull back on our – you’ve heard before our strategic plan for that cash flows is first and foremost of investing in the business and also then the value adding acquisitions. So that is something we think we’ve done well, historically. We think we’ve got more opportunity there. There’s more room to consolidate. And we’ll take advantage of that, at that point. Still we have beyond, of course, we will return to shareholders in the form of opportunistic share repurchases and higher dividends.
Ward Nye: Stanley, Jim has a high class problem. And that is he gets to go out and do the largest – second largest transaction our company’s history last April. And by the time he gets to the end of third quarter this year, he’s back within his target ratio. So again, making sure that we use that money really wisely is going to be a key priority for us.
Stanley Elliott: Yeah, you know, it’s certainly great setup. Thanks for the time. Appreciate it and best of luck.
Ward Nye: Thanks, Stanley.
Operator: Thank you. Our next question comes from Adam Thalhimer with Thompson Davis. Your line is open.
Adam Thalhimer: Hey, good morning. Great quarter.
Ward Nye: Thanks, Adam.
Adam Thalhimer: Ward, I’m curious, I want to ask about residential first, the permit activity has slowed at least on national basis. What do you see on the ground in your market?
Ward Nye: I guess what I would say is this, if you look at our top 10 states, several things worth noting. We’re clearly outperforming the nation. So if we look at our top 10, as you said, national prominence relatively flat, our top 10 are up four. If we look at single family, they’re up to, if you look at multifamily, we’re up nine versus the nation up one. So I think that just underscores why where you are in this business matters so desperately. We’re seeing affordability best in places like the Midwest, the Southeast, and Southwest. And we think if you look at those regions of the country, that’s simply where we have a very notable geographic advantage. And if you look at where the population trends are going, we like where we’re sitting there as well. So as we look at housing, and again, it was something I tried to speak to and my prepared remarks, we see that in Martin Marietta geographies continuing to be very attracted. The piece of it that surprised me, Adam, has been the resilience of multifamily and I think in many respects, multifamily has continued to be resilient, because homeowners, home builders are shifting to more affordable homes right now. But at the same time, there’s some real estate that has to be acquired for them to do that. So I think we’re going to end up with something on multifamily that continues to look attractive. And I think we’ve got the next leg of single family on affordable res that’s still ahead of us.
Adam Thalhimer: That’s helpful. Thanks. And then I wanted to ask about thoughts and M&A in general, kind of piggy backing on Stanley’s question, I guess, because you ended his question saying, you have a lot of cash. That’s important to figure out how to deploy that deployed here. As it relates to any large deals, I mean, do you guys thinking in the pay down debt before you pull off a large deal?
Ward Nye: We’re going to try to keep the appropriate balance. And we’re going to be moved, but what is – what is the deal? I mean, at the end of the day, what I think people expect us to do, is to do the right transactions for the long term Martin Marietta shareholder. And I think that was TXI. I think that was swapping the river for the Rockies. I think that was doing Bluegrass. And if you look at your question, specifically around large transactions, if you look at the large transactions that we’ve done as a company, and what we’ve been able to do relative to integrating those and standardizing those transactions, I think we’ve got an incredibly capable team of people here who assess those transactions, and then also an incredible cable team who integrate those transactions. So to the extent that the large deals become available, if they do, and they’re in markets that we find moving, if they can be done in a fashion that builds value, we’re going to be there. But equally, I would suggest to you that we have been very disciplined. And when the transaction doesn’t work, we will quit simply walk away from it.
Adam Thalhimer: Okay, thanks, Ward.
Ward Nye: You bet.
Operator: Thank you. Our next question comes from Jerry Revich with Goldman Sachs. Your line is open.
Jerry Revich: Yes. Hi, good morning, everyone.
Ward Nye: Hi, Jerry.
Jerry Revich: Hey, Ward, over the past 25 years, you folks have been able to compound pricing closer to 5%, in aggregates and this year, obviously an uptick from last year, but still at 4%, that’s below the pricing increases that you’ve been able to achieve historically. So can you just talk about, is there a path to get to the historical 5% type increases from here? Can you step us through how you’re thinking about it?
Ward Nye: No, Jerry, I think they’re clearly, yes, I think several things play into that. One, what happens with the volume profile? So to your point, you’re looking over 25 year period that we’ve been a public company for example and what we need to step back and say as we’ve been through really a decade period of time, where volume has been incredibly challenged, but pricing has done very, very well. So here we are, for the first time in a long time, having a conversation about volumes up double-digits, right. And if you think back to the metric that you and I have spoken up before, Jerry, we’ve said, as a practical matter, you can look at aggregate volume growth, and pricing growth, and link those two things together to a degree. And our view has long then that pricing was going to lag volume modestly in a volume recovery mode. So if you go back over that same time frame that you’re speaking of, and you take that metric that I just described, I think you would find that we’re brought we’ve been broadly very correct on that. And I think if we’re hitting a point in time, where you really, you’re starting to see infrastructure, get some legs, and you can see a greater series of volume build over a period of time. Candidly, in a world where barriers to entry, continue to be high and are getting higher for significant parts of the business. I think all those are the building blocks that leads you to the question that you’re asking and why we feel confident on that.
Jerry Revich: Okay, and just to make sure, picking up the pieces that you’re laying out, it sounds like you expect to have some pretty positive pricing discussions when you roll out initial 2020 pricing to your customers based on the framework that you just laid out considering how good volumes have been this year. Is that reasonable?
Ward Nye: I don’t want to get too far ahead of my customers, but I think it’s fair to say when customers feel like they’ve got good backlogs, and they’ve got a good outlook is an easier pricing conversation with customers, Jerry.
Jerry Revich: Okay. And lastly, private non-res, obviously that can be a chunky business in your portfolio depending on project cadence. Can you just talk about how concentrated is the growth that you’re seeing in your guidance this year? In other words, is there any risk from larger projects if they’re completed over the next 12 months, and there’s nothing to replace them? But how – how broad based is that private non-res demand that you’re seeing this year?
Ward Nye: No, that’s a great question, Jerry. Look back to some of the commentary I offered before. As I look at non-res in particular is Southwest up? Yes. Up notably in a percentage? Yes. Is mid-Atlantic, same thing? Yes. Midwest, same thing. Mideast, same thing, every one of those divisions that I just called out for you, from a percentage change perspective on non-res are up double-digits. And many of these projects tend to be longer term projects. The one thing I did mention before is we’re going to sell about a million tons this year into some of the large Gulf energy projects. And again, those have been slow and coming. They tend to be multi-year. And part of what I like about that Jerry is in that’s – this year, we see probably five more projects that will be out for bid or award late this year, early next year, that’s probably 3 million tons on those. Again, these are just broad projects. I’m not saying we’re going to get these. And then there’s tiling on another five or six that we think is a little bit farther out than that. That’s about 11.5 million tons on those. So again, those are those large impact energy projects, separate and distinct from the share plays, the warehouse and the distribution, the wind farms and the datacenters. So again, we seek what we think is very attractive, widespread to your question, very specifically growth in non-res.
Jerry Revich: Okay. Thank you very much.
Ward Nye: You’re welcome. Thank you.
Operator: Thank you. Our next question comes from Brent Thielman with D.A. Davidson. Your line is open.
Brent Thielman: Great, thank you. Brent Thielman. Ward, great quarter. You talked a bit about this impact of base stone clean stone mix on ASP. I’m curious, how those dynamics shape your guidance expectations for pricing for the second half of the year? I mean, are you factoring in a little more of an unfavorable mix there?
Ward Nye: Yeah, we’re probably factoring in a modest, more favorable product mix on that infrastructure piece of that probably modestly more favorable geographic mix in some respects. So that they may wash themselves out to a degree. I think one thing that’s always incumbent on us, at the end of the quarter is to walk you through it and give you but the puts and takes are on it. But again, my view on base work, just to be really clear, Brent, has always been a very positive view on base. Because what I know is, if we had the privilege of putting base down on a job, the day and the hour is going to come that we will likely put clean stone on top of that base. So it tends to be longer term, more mature type work and that’s what we do best.
Brent Thielman: And Ward, is there President for when you start to see those clean stone deliveries, or is it pretty wide ranging?
Ward Nye: It’s pretty wide ranging, but I would tend to put six to nine months after base that you start to see notable clean stone going on top of it.
Brent Thielman: Okay. And then I just want to follow-up on Colorado. It’s been a great story for Martin Marietta for a long time, notwithstanding a long winter there. Any thoughts on the overall market, I know the housing private side has been really strong for you for quite some time. Is this transition the infrastructure, I guess big enough to continue to support the growth outlook there?
Ward Nye: Well, I think you’ve got several things. One, I think you do have a good infrastructure play and good private place there. I think the other thing that’s worth noting is you do have to play some plays, particularly in the northern part of that state. And part of what we tried to do is we try to be very visionary going in as depletion place occur and building rail yards. And highway 34 rail yard, which is just coming on really this year in Weld County, which is north of Denver, but south of Cheyenne is an important part of the growth story in that state. And we think we are extraordinarily well positioned in Northern Colorado, and in Denver, and now in Southern Colorado. So remember, when we initially went into that marketplace with our asset swap, it was really a Denver North business. And now after some ball ponds that we did, several years after the initial river for the Rockies transaction, it puts us up and down that I-25 corridor in Colorado in a way that really others don’t possess right now. And that’s 80 plus percent of the population in the state, and in a state that has very nice population demographics, and very high environmental barriers to entry. So we think all that tallies up to what we feel like can continue to be a nice growth story for that business.
Brent Thielman: Okay, great. Thank you, best of luck.
Ward Nye: Thank you, Brent.
Operator: Thank you. Our next question comes from Michael Wood with Nomura Instinet. Your line is now open.
Ryan Coyne: Good morning. This is Ryan calling on from Mike. You spoke to where you’re seeing the most success in residential North Carolina, South Carolina, Georgia and Florida. But weather aside, which geographic pockets are giving you the most challenges in terms of underlying demand trends?
Ward Nye: Relative to residential for the ex-weather? I guess what I would say is, if we’re looking in Florida looks good. Texas looks good. Maryland looks good. South Carolina looks good. And North Carolina multifamily looks good. I would guess that if we’re looking for, where’s it tougher, I guess maybe parts of the Midwest probably are not seeing the same degree of housing starts that you might see in more of the Southeast and Southwest. But again, that’s not a big surprise to us, because you really see stronger population demographics moving south and toward the coastal areas.
Ryan Coyne: Great. And then cost on labor, just as cost earlier, but I’m just quickly on asphalt. Can you speak to where you staying in terms of liquid asphalt cost and what your – in the second half?
Ward Nye: Sure. Look liquid asphalt costs are up there up about 15%, so if we’re looking at Q2 cost per ton, it was about $443. That was up just to be clear, about $67 over prior year. We’re taking full year price average might be up about 450 per ton, that’s about a 12% year-over-year part. Again, what we’re seeing in and hot mix is actually pretty good pricing on what we’re doing as well. And then here’s what I like about our hot mix business. And keep in mind, it’s uniquely a Colorado business. Our current backlog on hot mix customers is considerably over where it was last year. We’re looking at about a 40% increase over where it was last year. And as we spoke earlier, infrastructure backlog is up significantly as Colorado duty and the municipalities in that states have increased their funding. But equally important residential backlog has increased year-over-year, as homebuilders remain bullish and the market demand is increased there. So again a very nice public and private story for us relative to hot mix in the Colorado market.
Ryan Coyne: Thank you.
Ward Nye: You’re welcome.
Operator: Thank you and we have a question from Adrian Huerta with J.P. Morgan. Your line is open.
Adrian Huerta: Thank you, Ward and Jim for taking my question and congrats on the results. One on the labor market again. Even the tight conditions, what are the challenges that contractors are facing to grow labor further and probably more specifically in states like Colorado and Texas? And my second question is regarding potential M&A. Given your large exposure to aggregate overall 70% of gross profits. How do you see and the outlook for aggregate cement and other downstream products? What is your target? Or what would you like to have in terms of mix in the long term so that you can work on acquisitions to get to that target? Thanks.
Ward Nye: Adrian, thanks for your question. I guess what I would say is relative to labor, if you look and see where the lowest unemployment numbers are, those will be the areas that contractors are struggling most. So is that at times a struggle for them and portions of the Southwest? Sure. Is it a time of struggle in Colorado? I have no doubt that it is. And at times even a struggle in Southeast. At the same time, I think what we’re seeing is contractors are paying more now because I think they see more demand. And so I think that the market has responded in many respects in a way that you would have expected the market to. With respect to growing our business, we’re an aggregate slow business. You’ve heard us say it for a long time, it is aggregates lead strategic cement targeted downstream, but we began with aggregates and began with that for a reason. And we do aggregates, we think very, very well. And those are the businesses that we are most moved by and those are the businesses that we will be disproportionally focused on and it's the ones that have taken us through 25 years and put us in a position that we believe that we've been able to build shareholder value very consistently. And it's a play book that we are going to stick to because we know it and we think we are good at it.
Adrian Huerta: Very clear. Thank you, Ward.
Ward Nye: Thank you.
Operator: Thank you. And I am showing no further questions at this time. I would like to turn the call back to Mr. Ward Nye for any closing remarks.
Ward Nye: Thank you for joining our second quarter 2019 earnings conference call. With our step as commitment to the disciplined execution of our strategic plan and world-class attributes of our business, Martin Marietta is well positioned to deliver continued growth and enhance shareholder value. We believe 2019 will be another record year for Martin Marietta and we look forward to discussing our third quarter 2019 results in few months. As always, we're available for any follow-up questions. Thanks you for your time and your continued support of Martin Marietta.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone, have a great day.